Operator: Good day, and thank you for standing by. Welcome to the Cimpress Q4 Fiscal Year 2025 Earnings Call. I will now introduce Meredith Burns, Vice President of Investor Relations and Sustainability.
Meredith Burns: Thank you, Ari, and thank you, everyone, for joining us. With us today are Robert Keane, our Founder, Chairman and Chief Executive Officer; and Sean Quinn, our EVP and Chief Financial Officer. We appreciate the time that you've dedicated to understand our results, commentary and outlook. This live Q&A session will last about 45 minutes or so, and we'll answer both pre-submitted and live questions. You can submit questions live via the question-and- answers box at the bottom left of the screen. Before we start, I'll note that in this session, we will make statements about the future. Our actual results may differ materially from these statements due to risk factors that are outlined in detail in our SEC filings and the documents we published yesterday on our website. We also have published non-GAAP reconciliations for our financial results on our website, and we invite you to read them. So now I will turn things over to Robert.
Robert S. Keane: Thanks, Meredith. Thank you to all our investors for joining us today. Yesterday, we published 2 documents, our Q4 and FY '25 earnings document as well as our annual letter to investors. Sean is going to cover details of the earnings document. I will start with a quick review of that annual letter. To start off, Cimpress is a profitable global company that helps millions of businesses build brands, stand out and grow. And our consistent investment for the long term has led to production capabilities to technology and to service capabilities that power above other firms in the printing or related industries and no competitor has our scale, our global reach or Cimpress' wide array of products. The biggest near-term challenge we face is that we are in a major transition in terms of what product categories drive our success. This transition dilutes our near-term growth rate and profit percentage margins, but we believe it will lead to a future of steady growth of gross profit dollars and much higher per customer lifetime value. In summary, we are succeeding in this transition. Since at least 2022, in our Annual Investor Days and in other investor forums, we've discussed key components of this transition. First, the large opportunity for categories like packaging, promotional products, apparel, labels, signage, booklets, catalogs, magazines and books. These can more offset the maturation of categories like business cards and other legacy products. Second, we've spoken about how we have been consistently investing in manufacturing and new product introductions in design enablement, technology and, importantly, in an improved customer experience, all of that investment designed to capture the opportunity I just described. Third, the value and the profit growth of high-value customers across Cimpress has been something we've described, including, for example, speaking about the top several deciles of Vista's customers. That being said, we do recognize that many investors don't fully appreciate either this transition's success to date or its promise for tomorrow and that we've failed to give specific enough data to model its impact. That's why in this year's letter to investors, we provide quantified examples of the successes we've been delivering in large, new elevated product categories. Yesterday's letter also includes a table of revenue share, revenue growth and variable gross margins by product category for fiscal 2025, which should help you model our business. The examples of the data in that letter illustrate that Cimpress is successfully building on our long-term foundational capabilities, which have traditionally addressed only a small portion of our total addressable market via our legacy products. Thanks to our continuously expanding product range and our investment in an improved customer experience, we are successfully earning customer trust for a much larger share of their print and promo wallet, and they are becoming much higher lifetime value customers for Cimpress. This expansion of our capabilities in elevated products and importantly, the associated rise of lifetime value promises to extend Cimpress' multi-decade market disruption. That disruption is transforming a fragmented traditional print and promo landscape, which has tens of thousands of small job shops and small distributors, towards a future of a limited number of larger firms, of which Cimpress is the clear market leader who master mass customization and web-to-print. As we've conveyed many times before, we estimate that our total addressable market in Europe, North America and Australia exceeds $100 billion per year and that more than 60% of that market value is still served by those traditional suppliers. Within this context of market opportunity, this year's annual letter discussed the strategic and financial logic, which led us to invest in fiscal '25, and why we plan to invest in fiscal '26 at the levels of capital expenditures and capitalized software that are well above maintenance levels. In brief, we believe that these investments will not only accelerate our momentum in elevated products and in higher lifetime value customers, but we also believe that they will allow us to deliver cost reductions worth about $70 million to $80 million of incremental annualized adjusted EBITDA improvements by the end of fiscal '27, above and beyond what we would otherwise do. On top of our well-established traditional legacy products, we see that Cimpress' successful expansion to elevated products and higher-value customers offers a future of significantly increased cash flow per share, yet our equity valuation does not reflect that perspective. Now we certainly seek to close that value gap over time by delivering revenue and profit growth by being rigorous in our capital allocation, by clearly communicating to investors tangible examples of progress and of return on investment, and providing disclosure that allows you to track and understand this progress. In the meantime, if our shares continue to trade at these levels, we see this as an opportunity to take advantage of the price to value gap through share repurchases like we have just done in the past quarter, even as we maintain a strong balance sheet. Now I'll turn things over to Sean to discuss the financial results and the outlook commentary.
Sean Edward Quinn: Great. Thanks a lot, Robert. And I just want to, again, thank everyone for joining today. Just to start with a brief overview of our financial results. Our consolidated Q4 revenue grew 4% on a reported basis and 2% on an organic constant currency basis. And for the full year, grew 3% on both a reported and constant currency basis. At Vista, organic constant currency revenue grew 4% for the quarter, and that was fueled by continued strength in promotional products, apparel and gifts, in signage, in packaging and labels, all of which grew significantly again in Q4. We go into further detail in Robert's annual letter, but these products are helping to attract and retain higher-value customers and to improve per customer profitability, which is a trend that we have seen for several years now, but was definitely notable again in Q4. Organic constant currency revenue growth in European markets remained strong. That was at 7% for Q4, while year-over-year growth in North America improved sequentially to 3%. As noted in Robert's annual letter, legacy products such as business cards, stationery and holiday cards are experiencing declining market demand, which shows through in our consolidated results. And at Vista, business cards declined 6% during Q4. The mix shift from these legacy products to the higher-value elevated products does weigh on our gross margins, but we remain optimistic, as Robert talked about, about our ability to drive profitability growth as these higher growth categories continue to scale. One good example of that is Vista's revenue in the promotional products, apparel and gifts category for the full fiscal year, which grew 18%, and that's now on a base of revenue, which is over $300 million. Importantly, not only did we grow 18% in that category, but our estimated variable gross profit in that category grew 27%. Turning to profitability. Adjusted EBITDA increased by $3.1 million year-over-year, but declined $35.5 million for the full year. In Q4, our profit trend improved compared to earlier in the year despite a tariff impact of about $3 million net of pricing offsets. Most of this impact on tariffs happened during the heightened tariff rates in May and was primarily, as we called out in the earnings document last night, at our National Pen business. As tariff rates then came back down in June, we were able to fully offset the impact through pricing mitigation, coupled with all the things that we were doing from a sourcing perspective. Gross margin was impacted by our ongoing product mix shift. Gross profit dollars grew year-over-year in Q4 despite the 110 basis points of gross margin compression, and that includes, again, the $3 million of tariff impact. As we've described in the past, we expected advertising efficiencies in Q4, and that's what happened. Consolidated advertising as a percentage of revenue declined 120 basis points to 11.3%. Importantly, contribution profit grew 5% and contribution margin improved slightly. Currency fluctuations had a $3.6 million benefit to adjusted EBITDA during the quarter as well, given most notably the strengthening of the euro. And from a full year perspective, I'm not going to recap the full year again, but the year-over-year decline in adjusted EBITDA was primarily driven by the December quarter, and there were a number of benefits from fiscal '24 that didn't repeat. There were a number of onetime negative items in FY '25 that combined drove a significant portion of that decline, but the performance in the second half of the year was improved, and we importantly feel confident about continuing that improvement in fiscal '26, as is represented in the outlook that I'll go through momentarily. On the tariff front, in the earnings document, we updated our overview of impact. Our exemptions and exclusions there remain the same as what we discussed in our Q3 earnings release. The majority of impact continues to be on our promotional products that have Chinese country of origin. Outside of the period of the heightened tariff rates in May, we're able to offset tariff impacts at Vista and National Pen through pricing actions and also the work that we've done from a sourcing perspective. And I would say, generally speaking, there's been a lot of work done there, and our mitigation plans here remain on track. Turning to our guidance. We've set our guidance for fiscal '26 at a level that we believe incorporates continued uncertainty from the trade and macroeconomic environment. In fiscal year 2026, specifically, we expect revenue growth of 5% to 6% or 2% to 3% on an organic constant currency revenue basis. We expect net income of at least $72 million and adjusted EBITDA of at least $450 million when taking into account the impact of additional startup costs in our Pixartprinting U.S. facility and also other manufacturing projects connected with our higher expected capital expenditures in fiscal '26 that we believe, as Robert outlined earlier, will drive material financial benefit in fiscal 2027. We'll also have about $14 million of annualized savings from cost reduction actions that we implemented in the back half of fiscal '25. So that will help to reduce operating expense growth next year. We expect operating cash flow of $310 million and adjusted free cash flow of approximately $140 million. We expect the year-over-year impact of currency on EBITDA to be slightly favorable in fiscal '26, and we expect CapEx to be approximately $100 million and capitalized software to be approximately $70 million. Again, as Robert referenced earlier, well above maintenance levels. We expect cash taxes to increase to $55 million to $60 million as we receive tax refunds in fiscal '25 that won't repeat. We'll also have the impact of profit growth. And then lastly, we expect net leverage to decrease slightly by the end of fiscal '26. We do remain committed to reaching our leverage target of 2.5x our trailing 12 months EBITDA as defined by our credit agreement. With that, Meredith, why don't we open it up for questions?
Meredith Burns: Thanks, Sean. As a reminder, you can submit questions during this webcast via the question-and-answers box at the bottom left of the screen. We have received both pre-submitted questions, and we also have a bunch of live questions coming in now, which is great. So we will make sure that we get to as many of your questions as we possibly can. And in the places where we have some overlapping topics, we may combine some of the questions just in order to get everybody's thoughts out. So I'm going to start with Sean first, the first question that was pre-submitted last night. So FY '26 guidance implies free cash flow conversion of EBITDA at 31%. Historically, you have talked about a conversion rate of 45% to 50% with some fluctuations from year-to-year. But FY '26 will be the second year in a row of free cash flow conversion in the low 30% range. Is the 45% to 50% conversion ratio still in effect on a normalized basis? When should free cash flow conversion return to that 45% to 50% level? I understand that CapEx is going to be a bit higher this year, but I would think that whatever weighed on the conversion in FY '25 should start to be bouncing back and help to offset that.
Sean Edward Quinn: Okay. Great question. Thank you. Maybe just to start, I just went through the free cash flow guidance for next year, and free cash flow is expected to be slightly lower in fiscal '26 than it was in fiscal '25 despite the fact that we do have EBITDA growth implied in the guidance. So there are a few factors there. CapEx is expected to be higher, and so if you take this together, that's about $40 million of year-over-year impact on cash flow versus fiscal '25. In terms of the free cash flow conversion, we do have confidence that the 45% conversion rate is a more normalized level. And in our annual letter that we published last night, but also as Robert remarked earlier, we talked about a few of the factors that we think will drive increased free cash flow, including higher EBITDA through the COGS and operating efficiencies that we can deliver through that CapEx as we exit FY '27. And we don't expect that the level of CapEx that I just outlined in the outlook will be sustained on an ongoing basis. So there's slightly elevated -- and actually, to your question, there's slightly elevated maintenance CapEx, both in FY '25, but also in FY '26 as part of those numbers. But we're investing, and from a CapEx perspective, that's higher than we would expect on a sustained basis. Working capital also is an important factor. That's going to fluctuate from year-to-year. And I think the last 2 years are good examples of that. In fiscal '24, working capital was a very significant inflow. In fiscal '25, it was a small outflow. On a normalized basis, we expect that to be an inflow and contribute to free cash flow conversion as well. So in summary, yes, we believe that, that is achievable, the 45% to 50% conversion rate in a normalized environment for the reasons just outlined. That won't be the case in fiscal '26. But as we get the financial benefits of that higher CapEx coming in, in FY '27, and get to more sort of normalized levels of CapEx, we would expect that to be working back into that range.
Meredith Burns: Thanks, Sean. Your audio was breaking up just right at the end of the answer to that question, but we understood what you were saying. All right. I'm going to move on to a question for Robert next. We appreciated the detail on Page 20 of the investor letter around product categories. What is the go-forward revenue growth expectation in percentage terms generally, or high level for the legacy products and elevated products? Are there any changes in expected variable gross margin as these categories grow or decline as compared to what was provided for FY '25? We obviously recognize it's hard to give specifics, but even high-level guidance by category would be greatly appreciated, if possible.
Robert S. Keane: Well, thanks for the question. As you know, it is hard to give specifics, and we aren't going to provide product-specific growth or decay rate projections or variable gross margin targets. But I will try to frame this for you in a way which I think should be helpful. So as we noted just above the table you referred to in the letter, each major product category does include examples of legacy products and elevated products. But we broke out some specific details of the larger legacy products to be helpful to investors. Now that does make it a little bit tough to make high-level comments on growth trends by category. But let me give some context. First of all, the products that we called out in that table as having declined in fiscal '25, we have planned for a continued decline in those categories. For business cards, that rate of decline is similar to FY '25, and for holiday cards and mugs and home decor, slightly improved as there were some specific drivers in those categories in fiscal '25. Business cards is the largest impact at 13% of our revenue last year. Most of that's in the Vista business, and we're only 1 month into the year. But so far, we're on track to plan. Let me just step back a little bit in terms of that business card shift. We definitely see the market being soft overall. But if you go to our site and you look at our communications, we've also really increased the focus on these other products, which is taking some of the shelf space, a significant amount of shelf space away from, if you go back 4, 5, 10 years ago, where business cards were really the primary focus of what you would see when you came to the Vistaprint site. So that's why we see this type of shift happening. And we think that's a good thing because of all the reasons we spoke about in the letter. Now in terms of the growing categories, we are expecting additional growth in coming years. Generally, using the table we published as a starting point is helpful, understanding that there are always going to be puts and takes from 1 year to the next. Some of our fastest-growing products are getting more scale like the Vistaprint promotional products, the apparel. Sean just gave some details on that earlier, and we expect that type of growth to shine through on our consolidated results. In terms of the part of your question that talked about variable gross margin percentages, in our annual letter, we were clear that we do see the opportunity to improve like-for-like unit costs of the growing product categories, and we've done that historically with legacy products. And that should come through a combination of more volume aggregation into focused production hubs through ongoing production equipment upgrades that become more attractive from an ROI perspective once we get to higher volumes, for example, greater automation, by lower shipping costs as some production can be shifted to be closer to the end customer where we're delivering to, and on in-sourcing of products that are currently being fulfilled by third-party fulfillers. Importantly, we've also had a history of introducing product attribute upgrade choices that customers really like, they really value, but which have a cost that is quite low for us, and that drives incrementally high gross margin percentages and gross margin dollars. Now we gave the example of one of our high-volume product categories, business cards in Vistaprint, where in 2005, at the time of our IPO, variable gross margins were about 55%. And today, they're about 74%. And this is certainly not a promise that we can get 20 points of gross margin out of every product category on that list. But we do see meaningful improvement like this across many products over time, and we're making the investments to drive these types of improvements in these newer categories like we have historically in other categories. In summary, yes, we do think there's an opportunity to improve like-for-like variable gross margin percentages on our elevated products. And very importantly, because elevated products typically have higher per customer lifetime value, and "let me remind you, we define LTV as the gross profit generated in dollar terms, not in percentage terms". Because of that higher LTV, there's also an opportunity to get advertising and OpEx leverage over time as elevated products continue to grow and that drives higher wallet share from higher-value customers. So in summary, we are very excited about what this can deliver over the coming years. It is a story of headwinds and tailwinds, but the tailwinds are really starting to gain the upper hand.
Meredith Burns: Excellent. Thank you, Robert. I'm going to stick with you for this next question, because it's actually a really nice follow-on. Is the 2% to 3% FX adjusted growth rate expected for FY '26 the new steady-state growth rate? Or do you aspire to get back to at least the mid- single-digit percentage growth or higher over time? And if so, how do you get there?
Robert S. Keane: It's definitely the latter. We aspire to get back to at least mid-single-digit percentages over time. We do think we can grow faster, because doing so really is dependent on the execution that we've already been showing with these growth in elevated products and the growth of high-value customers. And as I just ended the last answer with the tailwinds overcoming some of the headwinds in our legacy products and channels. Now if you make your own assumptions over the next few years of our growth rates by category and you start with the fiscal '25 table we published in my letter last night, and if you inform your scenarios by the many examples of strong growth in elevated products, which we provided last night, I think you can see why we should be able to move back to the mid-single-digit growth rates. That's definitively not guidance, but it does give a good framework for thinking about top line growth. And as I just mentioned, and also as discussed in our letter, you can, and I believe you should layer in assumptions about our gross margin percentage changes and the impact that, that can have on the trajectory of advertising as a percentage of revenues and therefore, the trajectory of contribution profit dollars.
Meredith Burns: Great. Thank you, Robert. We did receive a couple of questions from folks regarding a recent Schedule 13D filing by one of our shareholders. I just want to take that one. While we appreciate that this is a topic that's of interest, we're not going to comment on investor filings since Cimpress is not the one that filed that document. So I will move on to another question. This one is going to be for Sean. Sean, has your maintenance CapEx, including capitalized software expense, increased meaningfully as a result of your recent investments? As I read it, your estimate of organic growth investments indicates that it has as I am looking at the trend in total CapEx and capitalized software versus the trend in the difference between estimated impact of growth investments on EBITDA and free cash flow.
Sean Edward Quinn: Yes, you're right to call this out. Our maintenance CapEx did increase this fiscal year and will be more elevated in fiscal '26 as part of the guidance that we provided as well. That's not as a result of our recent investments. It's more related to 2 specific factors, most of it being on the CapEx side of things, not on capitalized software, there's some impact there. On the capitalized software piece, there's always some waves that we go through in terms of the intensity of maintenance capital. And so for example, if we happen to be in a year where we're replacing, let's say, an offset press or 2 offset presses that have a long life, so we're not replacing those on a very regular basis, that would be a year -- or a reason why there might be a larger outlay in one year versus another. FY '25 was the larger year of maintenance CapEx. And when we do that, it is replacing existing equipment. So from that perspective, there's maintenance CapEx, but there are absolutely benefits in terms of increased efficiency, better quality, expanding capacity because throughput increases, uptime being better. And so there's some sort of growth aspect to it, but it really is replacement. I think that's really the main difference. It's not that we would necessarily sustain this current level each year. We just happen to, in FY '25, and again in FY '26, be at slightly elevated levels versus where we were in, let's say, fiscal '21 through fiscal '24. So right now, we're at kind of the higher end of that range. On the capitalized software side of things, over time what we've done and the question refers to our growth investment disclosures in our annual letter, we've brought down the percentage of our mass customization platform spend that we've considered to be growth investment. And the reason that we've done that is that as we get more adoption and that becomes more an ingrained part of how we operate, it becomes more maintenance than growth. And that's happening at the same time that the dollars of capitalized software in total have grown. And so the growth investment, if you look at our annual letter, in that area has stayed flat, but our total capitalized software has grown and therefore, yes, the maintenance portion of that has grown as well. I think -- at least I always look at this as a percentage of revenue because some of this is in support of the total growth of the business. And I think if you look at it on a percentage of revenue in total, again, I would say we're operating at the high end or maybe even higher than what would normally be the high end of our maintenance CapEx and cap software in fiscal '25. And we would expect that after fiscal '26, we get through some of these bigger cycles of replacement CapEx that, that would then again normalize.
Meredith Burns: Thanks, Sean. I'm going to stick with you for the next question as well. So the outlook notes that net leverage will decrease slightly over the course of FY '26. Should we take this to mean that the company will be repurchasing more shares during FY '26? If my math is correct, absent share repurchases or other uses of cash, net leverage would decline to about 2.7x trailing 12-month EBITDA by the end of FY '26.
Sean Edward Quinn: Yes. That math is directionally correct. There are some nuances with how exactly EBITDA is calculated based on our credit agreement, but that math gets you almost there. When we're doing our internal planning, but also as we provide guidance, generally speaking, we're not forecasting a certain amount of share repurchases that we're going to do in a year because those are price dependent. And that said, we did say in Robert's letter last night that we would expect to do share repurchases if the price remained at the attractive levels that they've been at recently. So in our outlook, the fact that we've said we expect net leverage to decrease slightly by the end of fiscal '26, that does allow room for share repurchases and/or small tuck-in M&A. And that was our intention with the way that we set that outlook to have that space. And again, share repurchase decisions are price dependent, so we'll manage that throughout the year. As you heard [indiscernible] to fiscal '27, that's when we see our recent investments and also the investments we're making in fiscal '26, in particular, the increased capital expenditures having a more meaningful positive impact on our profitability, including through the cost reductions outlined that we expect to also positively impact net leverage at that time in fiscal '27. Just to reiterate again, though, as we said this in the release last night, too, we're still committed to the 2.5x net leverage target as calculated by our credit agreement.
Meredith Burns: Thanks, Sean. Okay, we had a series of live questions come in around the topic of tariffs. So we'll try to take these as they come here. So the first one is, what is the risk that the informational product exemption ends?
Sean Edward Quinn: Yes, I can take that one. So there is some risk there. Maybe just a little bit of background. The informational materials exclusion that exists under IEEPA, that exemption is there as a matter of statute. It's not something that has recently been put in. And so that goes hand-in-hand with the authorities granted under IEEPA by which the tariffs to date have been put in place until some of the more recent trade deals have been done. And so there's always risk that statutes change. And we don't really have a view on the probability of that risk. But again, that would go hand-in-hand with the authorities granted under IEEPA, because it's a matter of statute. I think that it's important that -- and we talked about this last quarter as well, we have a number of exemptions and exclusions, not just the informational materials exclusion that we benefit from today. And so if you think about what has that changed and sort of what's our total risk profile, there are other things like the de minimis exemption, which is still in existence other than for China. That's going to go away eventually based on recent legislation. But we also have a significant percentage of coverage under USMCA, and that does cover the vast majority of our imports to the United States from Canada and Mexico. And so I think there's a kind of overlap of all these exclusions and exemptions. In the end, we don't have a crystal ball in terms of how this will all evolve. It's certainly been dynamic. We feel comfortable -- and we had to experience this for real in Q4. We feel comfortable with our response and our continued work there to mitigate risk. And coming to the guidance that we provided, and as I'm scanning through, I think there's a few questions on this, we did incorporate some of that uncertainty that is connected to tariffs into our outlook, and we've done that to the best of our ability.
Meredith Burns: Thanks, Sean. So another tariff question. Do you think that there was a pull forward in demand during Q4 due to tariffs?
Sean Edward Quinn: We really have not seen any indication of that. I mean I think if you think about the size of the average order across our businesses in the regions that would be impacted, and it's really not of a size that I think people would be thinking ahead and pulling forward. But we have not seen any indication of a pull forward in demand.
Meredith Burns: Great. And then what about the magnitude of the price increases taken during the quarter? Which segment did you take the most price? What was the volume growth in the quarter?
Sean Edward Quinn: Yes. Generally speaking, like I'll get to the tariff-specific pieces. Across all of our businesses, there was nothing notable in terms of large price increases. It was more of a normal mix of increases and decreases in continuous testing as we always do across our businesses. So price was not a significant driver other than -- again, I'll get to the tariff piece. For the tariffs, the 2 main areas of impact were most notably our National Pen business, and we talked about that in the release. And then also the promotional products category, a portion of the promotional products category for Vista. That's where most of the impact was on the cost side. And that's where most of the price happened. So we were seeking to offset that in some cases -- not fully, but offset most of that. And I would say, and you see this again in our disclosure, we feel good about the results there and also any sort of impact on demand. We really didn't see too much impact on the Vista side. On the National Pen side, to some extent. But that's where, in those peak weeks of the really heightened Chinese tariffs, we needed to offset that and the team did a nice job. I'm not going to get into like specific percentage increases, but the objective was to offset or mostly offset those cost impacts, and you can see that, that was done. I think, once we got through May and shifted back down to the lower rates in June, we feel very comfortable that we are fully offsetting in May, that's where we did have some net costs that came through.
Meredith Burns: Super helpful. Thanks, Sean. Okay. I've got a fun accounting question for you now. So can you please explain other income net line item? What derivative contracts led to such a drag on earnings this quarter?
Sean Edward Quinn: Sure. Yes, we have -- and I realize that this is kind of annoying noise when you look at our income statement. Basically, we have an active currency hedging program and that has been effective in reducing volatility [indiscernible] to what our contracts are as we head into the year. By far, our largest currency exposure from an adjusted EBITDA perspective is the euro. And so not surprisingly, in terms of notional value of contracts, that's the most gross notional value. For reasons I won't get into, because I'll bore you with details, in order to get hedge accounting, we would have to accept suboptimal economic [indiscernible] hedge. And so we don't use hedge accounting in the way that some companies would for that currency program. So what happens is those derivative contracts get mark-to-market, as you would expect, every month. And that floats up and down. And then as those roll off and match against the operating activities that were the underlying exposure for that period, they match [indiscernible] and that all works through the P&L. So it effectively kind of gets [indiscernible] accounting if you were to remove the unrealized gains or losses. But you do experience those unrealized gains and losses each quarter, and that's what you're seeing this quarter. So you would know that there was a pretty significant movement in many currencies as the dollar weakened in Q4 in the June quarter, but especially for the euro, and that's most of what's driving that. So you see an unrealized loss, but the offset to that is that we will have more favorable euro activity flowing through our P&L. And so that's really nothing to be alarmed about. The way that we think about it is like we entered the year with a mix of forwards and options. We know what our contracted -- our hedged rate is for the year upcoming. That's what allows us to also give the type of guidance commentary that we provided, which is that as you look forward to FY 2026, despite the fact that we have some of those unrealized losses in Q4 on those contracts, that currency overall, we expect to be slightly favorable on our EBITDA because those unrealized losses, if they are realized, then we'll be offsetting against much higher euro activity that flows through the P&L.
Meredith Burns: Thanks, Sean. So next question, a quick one. How much of this FY '26 EBITDA guide is benefiting from currency?
Sean Edward Quinn: Yes, we said in the [indiscernible] favorable. You can take that to mean a few million dollars of impact on -- positive impact on EBITDA. Yes, that's the summary.
Meredith Burns: Thanks, Sean. Another quick one. How has July trended so far?
Sean Edward Quinn: Yes. We typically don't comment on interim months. I'd say, we just [indiscernible] as of the time of the [indiscernible] heading into Q4, we didn't have guidance, right? It was obviously something that we thought long and hard about, putting the guidance back in place. And when you do that, of course, you have the benefit of quarter-to-date performance. And so that's baked into the guidance that we provided. I won't get into specifics and certainly not like by segment, but I would say that overall, we're on track with our plans for the [indiscernible]. The other thing that I think is actually quite important is we are through the [indiscernible] is consistent with our plans as well. And that's important [indiscernible] gross margin evolution. And so anyway, that's kind of one of the things we're [indiscernible] on, and that's on track as well.
Meredith Burns: Thanks, Sean. All right. We're going to turn this next question over to Robert. So great to see the rapid growth in promo products, and thank you for quantifying this to $300 million. In this market, U.K. listed 4imprint reports $1.3 billion of revenues, and they have grown nicely for a long time. Is it correct that you are well behind 4imprint in this market? And how direct and tough is this competitor?
Robert S. Keane: Okay. Thanks for the question. First of all, just to clarify, the $300 million is only Vistaprint. National Pen and Upload and Print bring our total to over $700 million. And so that's above 20% of our revenue. 4imprint is a great company. We admire them, and I think they do a lot of -- they exemplify this general shift towards web-to-print and the mass customization of this market. We definitely have some differences. They tend to go towards customers that are where we are going now, but we have not in the past, the larger-sized customers with higher revenues per year, whereas especially Vistaprint, even National Pen has traditionally focused on much smaller orders. We still, at Vistaprint and National Pen, do very well in those smaller orders, but we are moving up into the higher-value customers as well. This is a very, very big market. 4imprint in the promotional products space is the online leader in the U.S. And we certainly expect to see the 2 of us continue to gain share. We're growing -- again, I won't speak to their growth. I can't do so, I don't know them other than as a good competitor. We do think we're taking market share, certainly when viewed at the overall market. There was recently a promotional products industry analysis that came out that estimated that, I'm not sure it was last year or last quarter, but the American promotional products industry in that particular study had declined 2% year-over-year. Obviously, we grew a lot faster than that. So we're very happy with where we're going. And again, I think 4imprint is a great example of that. I would say, if you go back historically, this is a perfect example where we've leveraged the relationships we have with small businesses, where traditionally that was predominantly things like business cards, post cards and very simple promotional products like a small narrow selection of pens or a small narrow selection of photo mugs that you could also put a logo on. And we, over the last 5 to 7 years, have done a lot to enter that market in a more effective way. It was an internal startup 10 years ago when we did the rearchitecture of our software at Vistaprint. Specifically, we did that in a manner that allowed us to deeply integrate the promotional products offering into the other parts of the Vistaprint offering. We've totally rebuilt over the last several years and finished up a year or 2 ago, the National Pen infrastructure for technology. So we're doing a lot to grow there. And importantly, as I mentioned in the letter, the supply chain we have deep into Southeast Asia, China and elsewhere with National Pen as well as our Mexican and Eastern European operations at National Pen are now rapidly supporting growing as they support Vista through cross-Cimpress fulfillment.
Meredith Burns: Thanks, Robert. That is the last live question that we had on the call. So I'm going to turn it back over to you to wrap this up.
Robert S. Keane: Well, thank you, everyone. I really hope you found today's conversation informative. I hope you followed the letter last night as well and our release. Obviously, from a shareholder perspective, our equity value is below what we believe to be its intrinsic value. To change that, we continue to focus on the execution of the plans that we've described for the past several years. As the examples and the many examples in our letter last night illustrate, and as discussed again today, these initiatives are building tailwinds that should soon overcome the headwinds which we've been seeing from our legacy products. And we're very excited about the progress we're making across Cimpress because of that. We're building best-in-class capabilities and competitive advantages with which we can serve our customers better and continue our multi-decade disruption of this huge, very large $100 billion-plus fragmented market for print and print-related products. And we're very much focused on helping those customers look professional, and that's a core value we've had for 30 years. Financially speaking, we believe this is going to translate into a continuation of our history of growing cash flow over the long term and especially doing so on a per share basis. So I'll finish up by saying thank you again to all of you who've joined the call, and thank you to our investors who continue to entrust us with your capital. Have a great day.
Operator: Thank you for your participation in today's call. This does conclude the program. You may now disconnect.